Operator: Welcome to the TreeHouse Foods Fourth Quarter 2024 Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. To ask a question, simply press star followed by the number one on your telephone keypad. Simply press star followed by the number one again. Please note this event is being recorded. At this time, I would like to turn the call over to Matt Feiler, VP of Investor Relations of TreeHouse Foods for the reading of the Safe Harbor statement.
Matt Siler: Good morning, and thank you for joining us today. Earlier this morning, we issued our earnings release and posted our earnings deck, both of which are available in the Investor Relations section of our website at treehousefoods.com. Before we begin, we would like to advise you that all forward-looking statements made on today's call are intended to fall within the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are based on current expectations and projections and involve risks and uncertainties that may cause actual results to differ materially from our forward-looking statements. Information concerning those risks is contained in the company's filings with the SEC. A reconciliation of non-GAAP measures to their most direct comparable GAAP measures can be found in the release and the appendix tables of today's earnings deck. With that, let me now turn the call over to our Chairman, CEO and President, Mr. Steve Oakland.
Steve Oakland: Thank you, Matt, and good morning, everyone. Today, I will share with you our fourth quarter and full year 2024 financial results, as well as provide our initial 2025 guidance. Before we get to the results, I'd like to update you on a couple of recent events. First, the voluntary recall of frozen griddle products, which occurred last quarter. As you can see on slide four, TreeHouse Foods initiated the recall of products made in our Branford, Ontario facility out of a commitment to food safety and quality. The recall was initiated as a result of the rigorous quality assurance testing of our products made at the facility. We temporarily closed the facility to conduct the deep cleaning, sanitation, and hygienic restoration. The facility resumed shipping products in recent weeks, in line with our expectations, and we anticipate no significant financial contribution from Griddle in the first quarter. Second, in January, we completed the purchase of Harris Tea, which is outlined on slide five. I'm pleased to welcome the Harris Teahouse team to TreeHouse Foods. The transaction strengthens our competitive positioning in the fast-growing private label tea category and adds unique blending and sourcing capabilities that customers desire, building upon our category leadership and enhancing our position through additional depth and scale. The acquisition includes Harris Tea's manufacturing facilities in Morristown, New Jersey, and Marietta, Georgia, and provides vertical integration across the company's existing tea business. Turning now to a brief summary of our fourth quarter and fiscal year results on Slide six. Fourth quarter adjusted net sales of $911.4 million and adjusted EBITDA of $118.3 million were both in line with our expectations. We drove an improvement in our volume and mix and posted almost 4% growth in the period. Amidst voluntary recall-related disruptions in our supply chain, we executed well to achieve significant cost savings, securing anticipated procurement savings which provided the benefits we expected this quarter. Looking at fiscal year 2024, adjusted net sales of $3.38 billion and adjusted EBITDA of $337 million were also in line with our updated expectations. We delivered flattish volume and mix for the year despite our supply chain challenges. Let's take a closer look at the consumer trends we experienced during the fourth quarter, in the categories in which TreeHouse operates, detailed on slide seven. Private brand unit sales experienced a rather sharp deceleration during the quarter. We believe this slowdown was a result of continued macro pressure that has impacted the broader food and beverage market. We are experiencing similar trends thus far in Q1, and we have planned our 2025 business accordingly. Despite the macro trends, I am pleased to report that overall private label industry dynamics remain favorable. As we have illustrated on slide eight, price gaps are healthy and maintain their historical cadence during the holiday period. Despite weaker consumption, private brands maintain share. As it relates to promotion levels, we once again saw the traditional pattern of gradual increases as the calendar year progressed. Looking ahead, we believe an increase in promotional activity is likely, given industry volume softness and overall consumption patterns, and we have planned accordingly. Promotions are generally still below the historic levels seen prior to the pandemic, and we remain comfortable with the expected levels of promotions in our categories. Moving to slide nine, private brands have been consistently gaining share over the last two decades, which we believe will continue over the long term. TreeHouse remains attractively positioned at the intersection of two incredibly powerful long-term consumer trends: the growth of private brand groceries in North America and the consumers' love of snacking. Continuing with the discussion of the long-term opportunity on slide ten, it's clear that many grocery retailers also see further runway for growth in private brands and are making their own strategic investments accordingly. Walmart and Albertsons both launched new private label brands in 2024. Costco's Kirkland brand is well established globally, and ALDI continues its store-based expansion across the US with an assortment that's focused almost exclusively on private brands. The retailer emphasis underscores the opportunity available to TreeHouse to partner with our retail customers, gain share, and create value over the long term. I will conclude by providing additional context as to how we plan to manage the business in 2025, which incorporates the challenging macro food trends and slower category growth. We will continue to focus on what we can control as an organization, primarily the performance of our supply chain and our cost structure. While we have made progress improving our operations, we still have a significant opportunity to improve our execution and consistency. As we begin 2025, we are sharply focused on executing what you see outlined on slide eleven. We have visibility to delivering our commitment of $250 million of gross supply chain savings through 2027. We are focusing on optimizing costs across our supply chain network to drive improved profitability. I'm confident that through our margin management function, we can improve the profitability of our current business, as well as sharpen our competitiveness as we work to win new business this year. We will allocate our supply chain capacity to the most attractive mix of opportunities to best drive profitability for both TreeHouse and our customers. We have good line of sight to some additional near-term opportunities to drive net sales and cash flow, which are highlighted on slide twelve.
Matt Siler: First, we have the opportunity to improve the production efficiency at our Cambridge facility, which despite significant improvement in 2024, is still not yet in line with our long-term expectations. And second, we are on our way to a resolution of the frozen grill recall that is impacting our first half, with the GlidePath progressing this plan. Third, our coffee business will begin to realize cost synergies this year as we complete the needed investments in the facility that we acquire, which should bolster our coffee margin capability. And finally, our level of growth CapEx is going to moderate moving forward as we complete some carryover projects from last year. With that, I will now turn the call over to Pat for further detail on our fourth quarter results and our 2025 outlook, Pat?
Pat O'Donnell: Thanks, Steve, and good morning, everyone. I'd like to start by expressing my gratitude to the entire TreeHouse team for a solid close to the year. I am confident in our plans heading into 2025. I'll start with a summary of our fourth quarter results on slide thirteen. Adjusted net sales of $911.4 million and adjusted EBITDA of $118.3 million both improved versus the prior year in line with our expectations. Progress on procurement savings drove stronger adjusted gross margin performance. Adjusted EBITDA margin rose to 13%. Let me walk through these results in greater detail. On slide fourteen, we've provided a look at our year-over-year net sales drivers. Our adjusted net sales increased by 0.2%, primarily driven by volume and mix, which was up 3.8% due to strong performance in eight of our top ten categories, led by pretzels, in-store bakery, cookies, and broth. This positive volume and mix contribution was offset by the impact of our frozen griddle facility restoration, which provided a drag of 2%. Pricing was a headwind of about 70 basis points due to targeted commodity-driven pricing adjustments, as we expected. Finally, foreign currency provided a drag of 10 basis points. Moving to Slide fifteen, I'll walk you through our profit drivers. Volume and mix, including absorption, had no impact on the quarter. PNOC, or pricing net of commodities, was a drag of $23 million as expected, which was driven by higher commodity costs and targeted pricing investments. Next, operations and supply chain provided a $29 million benefit year-over-year, driven by supply chain cost savings primarily related to our procurement initiatives. In 2024, we achieved $60 million in gross savings.
Matt Siler: Lastly, SG&A and other provided a benefit of $4 million year-over-year, driven by expense management and freight costs. Moving on to a summary of our capital allocation strategy on slide sixteen. We remain focused on deploying capital in a manner that enhances returns for shareholders. We have been balanced in our approach over the past three years with a relatively even split between our strategic priorities. Our first priority remains investing in our business, which we do organically through CapEx and inorganically by strategically adding depth and capabilities, as illustrated by our recent acquisition of Harris Tea. We will continue to maintain our balance sheet and execute on our share repurchase program when we believe our share price has become dislocated and we have the cash on hand to do so. In 2024, we returned roughly $150 million to shareholders through our share repurchase program. As we continue in 2025, we will remain disciplined, looking at every possible capital deployment decision by evaluating risk-adjusted returns. Now turning to our outlook for 2025. I'd like to spend a few moments framing how we are thinking about the year on slide seventeen. We continue to see a challenging macro food environment and slowing as it relates to our top-line outlook. There are a few factors to consider in our 2025 guidance for adjusted net sales in a range of $3.34 to $3.4 billion, or approximately flat at the midpoint. Volume and mix are expected to decline 1% year-over-year due to a couple of factors. Organic volume mix is expected to decline approximately 1%. The Harris Tea volume benefit is expected to be offset by our previously announced decision to exit the ready-to-drink business and other margin management actions along with the impact of the frozen griddle product recall. We expect that commodity-related pricing will be an approximately 1% benefit in 2025. Moving to profitability, we expect adjusted EBITDA in a range of $345 to $375 million in 2025. We are confident in the progress that we've made in implementing our strategies and believe we are on track to deliver continued cost savings in 2025. Additionally, we have made margin management a priority in the coming year and are executing on this strategy as we speak. We expect free cash flow of at least $130 million, driven by improved profitability. Finally, we anticipate net interest expense in a range of $80 million to $90 million and capital expenditures of approximately $125 million, which should continue to move lower as we move beyond a multiyear investment period in both capacity and cost improvement. With regard to the first quarter, we are expecting adjusted net sales in a range of $785 million to $800 million, which represents a year-over-year decline of approximately 3.5% at the midpoint. Volume and mix are expected to decline. The Harris Tea's volume benefit will be more than offset by the one-time impact from the frozen griddle product recall. In terms of profitability, we expect adjusted EBITDA at a range of $38 million to $46 million. With that, I'll turn it back over to Steve for closing remarks.
Steve Oakland: Thanks, Pat. 2024 was a difficult year for the food industry and TreeHouse. I'd like to thank the team for managing the business through a tough environment. While we stand to benefit from our categories returning to their historic growth rates, I continue to believe TreeHouse has meaningful margin expansion opportunity. We have been implementing near-term strategies to enhance value that are within our control. These include several efficiency opportunities across our supply chain and our overall cost structure that should drive improvement in the near term. As we head into 2025, we are focused on strengthening the foundation of our supply chain and margin management initiatives, restoring production levels in key categories, and pursuing profitable new business. Additionally, as we move through next year and conclude some carryover growth projects, we will begin a multiyear glide path to lower the levels of CapEx, which will drive higher free cash flow conversion. These efforts should drive improved profitability and cash flow regardless of the macro headwind. With that, I'll turn the call over to the operator to open the line for your questions.
Operator: We will now begin the question-and-answer session. To withdraw your question, press star followed by the number one again. The first question comes from Andrew Lazar of Barclays. Your line is open.
Andrew Lazar: Great. Thanks so much. Good morning, Steve. I guess, first question would be, in the fourth quarter, excluding all the one-time dynamics of exiting businesses and the griddle recall, I think underlying volume rose 3.8%. On those same basis, if I'm looking at it right, I think you're looking for underlying volume again, excluding all of these one-time things, in the first quarter, that's sort of flattish. I guess if I have that right, what would you attribute the sort of sequential slowdown to?
Pat O'Donnell: Yeah, Andrew, this is Pat. So I think as we started the ramp-up of the broth facility, that was, you know, part of what helped us into the fourth quarter as we weren't shipping as much broth. I think we've also seen an offset in some of the category deceleration that we talked about. As we exited the last couple of months and based on what we can see here to date, you know, we're seeing maybe just slightly positive category trends, but, you know, largely flat. And so I think that's the way we're thinking about the first quarter.
Andrew Lazar: Got it. Thanks for that. And then, Steve, just a little bit more high level. Sort of from an industry perspective, really, across branded and private label. But, you know, over the past couple of decades, right, the group has time to time dealt with significant fundamental challenges. And, you know, each time, while it's taken some time, the group has sort of found its way back to a better place, one way or another. And it just feels like valuations for the group at this stage are almost implying that this time is different. Right? The challenges the industry currently faces are maybe more enduring or structural in nature. I guess I would just be curious on your thoughts. Obviously, you've been in the industry a long time, and any given point in time, it always seemed like the challenges are structural, you know, and then they've proven not to be.
Steve Oakland: Looking at exactly what you just articulated. So, you know, obviously, we're not satisfied with our 2024 results. Right? We know this business is capable of more than that. And you've got this environment of high inflation. You've got the GLP-1 question. You've got, you know, the consumer pressure questions. So you've got a lot of questions around you. You know, and if I take it just back, it's been literally less than two and a half years, just under two and a half years ago, that we sold the meal prep business and created the new TreeHouse. Right? We chose categories when we did that that had grown historically 3% to 5% in units. Okay. And some of those categories had grown at that pace for a decade. Well, obviously, to your point, these things have changed dramatically. Right now. Right? You've got a low growth to no growth environment. Private label dynamics within the categories are good. Right? But the categories aren't good. Right? So what I inferred in my prepared remarks, and I hope the group on the call understands, is that our management team, our board, our leaders think this is an opportunity for exactly what you said, to reset ourselves. Right? To rethink how we go to market, how we run our business. Okay? And do it differently. You know, we talk about focusing on things you can control. Right? Well, in our case, it's our supply chain. It's operational excellence. Efficiency. We think we can drive significantly more profitability and cash flow. We think it has to start with the guide we gave you today, a very conservative volume guide. Right? And that conservative volume guide allows us to focus on execution. We can tighten up our spending on things like, you know, growth capital, working capital, and we can focus our team on projects that'll take out structural costs. Right. So we do think it comes back. Right? And to your point, it does. Right? But what we want to do is be a place where when that happens, we can really leverage that financially. So our focus in the near term is to drive those things out. You know, I think, Pat, you know, I think our categories were up seven-tenths of a point in units in January. Right? And so if that happens, we'll be, you know, a tad better than what we guided. But we thought a conservative guide really a different mindset across TreeHouse and across our teams to focus on making this operation ready for when that happens. And then we're gonna know more. Right? We're gonna the GLP-1 question is gonna flush itself out right over the next year or two. The, you know, a lot of these trends, the food costs, right, for commodities will get will settle. I mean, we can't have a more uncertain environment today with tariffs. And all the things that are going on around us. So I think we just should build, and I know some of my peers are on some of the same issues. And so I think we position the business for normalcy, and normalcy will happen. Right? It has to your point every other time.
Andrew Lazar: Okay. I always appreciate your thoughts. Thank you.
Steve Oakland: Yeah. Thanks, Andrew.
Operator: The next question comes from the line of Matt Smith from Stifel. Your line is open.
Matt Smith: Hi. Good morning. Thanks for taking my question. Steve, I wanted to ask you about the margin management actions you're taking in 2025. I think it's hard to kind of tease out what the impact to volumes is based on the guidance. Perhaps it's a point or so. Can you talk a little bit more about the phasing of when you expect to see the volume headwind from some of those margin management actions? And if this is kind of a reset in 2025 or if this is more of a go-forward way of managing the business where we could continue to see volume drag that is offset by new contract wins over time.
Steve Oakland: Sure. Maybe I'll touch on how we approach this and when I think it's gonna impact us, and Pat can talk about it. So, you know, in a market that, you know, sort of what I just said to Andrew, if you're assuming your business is gonna grow 3% to 5% and that's been historic trends, you know, you're adding shifts, you're adding capacity, you're taking on complexity that isn't that efficient in your plans. Our margin management allows us to, especially in those capacity-constrained areas, to really align efficient operations with the best opportunities where we can give our customers. What customers and what volume will that be the most effective for them and the most effective for us? And not put that pressure on that team to try to grab that extra piece of business that ends up being inefficient. Right. So I think there'll be a point or two of volume drag throughout the year. But I think it's offset dramatically by the cost to serve that volume. But we've done some really good work that suggests some of that volume is really expensive to serve. Right? Now that doesn't mean that as things recover, we won't make capacity expansion expenditures again. But I think there's a chance to pause on that. And, also, over the next year or two, I think our TMOS activity we're seeing great progress from TMOS. That's adding capacity to our system. So let's let that run for a year or two and free up some capacity, and we'll go fill it. So maybe I'll hand it to Pat to talk about the impact.
Pat O'Donnell: Yeah. And so I think you're thinking about that right from a modification. I think you'll see that build throughout the year. Obviously, the first quarter, we've got visibility into what business we want to serve there. Throughout the year, you'll start to see us make choices on bids that we participate in where we may not want to run down the structural margin in a category and bid too low. And other parts of the business, like Steve described, that are complex and are within the tail of what we serve that don't make sense for us. So I think think about that as probably starting second quarter and then building throughout the year.
Steve Oakland: It's not gonna be draconian. But a couple points of volume out of our system, the most expensive part of our tail, can really impact our margin.
Matt Smith: Okay. Thanks, Pat. And just as a tactical follow-up, the margin management actions, the drag on volume, is that gonna be it looks like the way guidance was laid out, that's not going to be included in what you're calling organic volume. Is that right?
Pat O'Donnell: Yeah. I think the way that we describe that, that's right. Maybe the way we described organic might just be what we would call sort of base business, maybe be another way to say that.
Matt Smith: Thank you, El Paso.
Pat O'Donnell: Thank you.
Operator: The next question comes from John Anderson of William Blair. Your line is open.
John Anderson: Hey. Good morning, everybody. Morning, Jeff. A couple of quick questions. On the supply chain cost-saving program. I think you mentioned, Pat, that cumulatively you realized $60 million of gross savings in 2024. Can you talk a little bit about how we should be thinking about the cadence of the balance of that program in 2025 and 2026? And then I'm also curious around the commentary around capital expenditure glide path. Kind of a multiyear glide path to a lower CapEx rate. I think the CapEx rate was around 4.3% of sales in 2024. Kind of implied in the 3.8, 3.7, 3.8 range in 2025, how you expect that to kind of assuming all else equal, how that glide path might play out over the next two to three years. Thanks.
Pat O'Donnell: Yep. So on the supply chain savings, a lot of what we drove this year was related to our procurement cost savings initiatives, and we were really pleased to see the flow through of that in the second half of the year, primarily. So given that we do a lot of that work in the second half, what we expect to flow through in 2025 will be the carryover impact of that as well as the remainder of the pipeline as we continue to execute on that. Obviously, in a lower volume environment, a little bit harder to drive through ongoing cost savings, and we do see a little bit of inflation. So either that number from a manufacturing will be a little bit smaller this year, but we see the ability for TMOS to offset our inflation and deliver a little bit. And then we've had good progress as well on our logistics, and there's still more work to go there. So I'd say think of 2025 providing probably a little bit less from a procurement savings, but that's well on its way. We'll get some manufacturing, and we'll get to start to work on our logistics, which are kind of the pillars of what we talked about. And then we'll just look at, you know, based on volumes, what are the structural things we've got to do to make sure we're aligning effort with the volume that we do have. Then as it relates to CapEx, we are winding up a couple multiyear projects in 2025. And, you know, I think for this business, we've said historically 3% to 3.5% is probably the level of CapEx. I think on the high end would be what you need to go to drive more growth. And so on the low end, if you're not trying to drive that growth, you're probably closer to the low end of that over time if you're not making those types of investments. And so that'd be a little bit of how we think about the glide path, and we'll obviously update that as we get closer to it.
John Anderson: Makes sense. One quick follow-up. I think, you know, it dates back a little ways now, but at one point, you had shared a kind of a view of where you may be in 2027 from the margin perspective, and I think an implied EBITDA margin around 12%. In light of some of the kind of the pivot that you're making here based on the macro and category performance where you're gonna be scrutinizing some of the category customer relationships a little bit more for margin management. Does that change the kind of the complexion of the long-term algo? Lower top line, but offset by improved profitability or gross profit dollars? Thanks.
Pat O'Donnell: Yeah. I'm not sure, John. We're, you know, we would say at this point, you know, we're not gonna go a lot above that. But I think, you know, that'll be the real focus. And I think, obviously, the work to go drive that type of margin on a lower volume requires a little bit more effort. So I don't think we're gonna say anything different. But, obviously, as we get greater line of sight and we see the benefits of that payoff, we can update as we go along.
John Anderson: Great. Thanks so much.
Pat O'Donnell: Thanks, John.
Operator: The next question comes from Jim Salera of Stephens Incorporated. Your line is open.
Jim Salera: Guys, good morning. Thanks for taking my questions. I was hoping you could maybe give a little more detail around the softness in private label consumption, you know, the sequential step down in 4Q from 3Q. You did call out some strength in, you know, pretzels, cookies, and the in-store bakery, which at least conceptually, I would think are a little bit more discretionary than some of the other categories in-store. And so you would think, you know, the consumer spending there in many is a little pressured in other areas, that would actually be a benefit to private label. Just any color you've got to offer around that would be helpful.
Steve Oakland: Sure. Sure. Couple of things. I think we actually took some share in a couple of those. Right? Our pretzels team has been performing incredibly well, and if you remember a couple of years ago, we made an investment to bring seasoned pretzels to market. That is starting now to pay off. So I think in ISP as well, there's some new business in that group. So I think, frankly, if that's executional, and unfortunately, you know, when we have the hangover of our frozen griddle, you know, those things are hard to show through. But so we actually had some executional strength there. You know, honestly, we have historically seen brands peak in December. That's been a historical peak. Obviously, you've got holidays. You've got all those things happening. So and you've got a lot of promotional support. But I mean, I've listened to the other calls on, you know, the few calls that have been out. I just think we had a soft consumer environment in the month of December. Like, we saw it decelerate as we got into the quarter. I don't know if that's a consumer paying for Christmas. I don't know what those things are. But we saw the volume decelerate. We saw, I mean, we gained a tiny bit of share. We had a tiny bit positive, which is still better than the category dynamics, but I think it was more a macro category issue or a macro consumer spending issue than it was a private label issue. And like we said, we saw about seven-tenths improvement in January. Right? It's that small improvement in January. Now we are at record share levels. Right? So I'm not somewhat sure it's a private label issue as it is just a macro issue.
Jim Salera: Okay. That's good. And maybe as a follow-up question to that, if we think about 2025 and, again, ignoring all the one-time headwinds, how should we think about general kind of category improvement versus operational execution leading to share gains as the drivers of the kind of base business volume?
Steve Oakland: You know, I think we are planning for volume to be flat. Which as I said in my opening comments, that's a conservative point of view. That allows us I think the underlying categories I mean, if they're anything like January, it might be up to point-ish. But that allows us a little bit of room to do a little bit of distribution changes and things to improve our margins. Right? The Harris Tea acquisition, you know, we thought, well, that's great mix. It's profitable volume. We thought bringing that in gave us an umbrella to operate under to make the rest of the business, to position the rest of the business in a much better place. So I think what you'll see there, we'll win some prep business. We'll win some of those great categories where we're performing really well. And then we'll use that opportunity to position the rest of the business for a more profitable run going forward.
Operator: The next question comes from Rob Dickerson of Jefferies. Your line is open.
Rob Dickerson: Great. Thank you. Maybe just one kind of tactical question and one broader question. For the quarter, you know, volume mix was up 3.8, and then we have the line that shows kind of facilities restoration impact, right, which I assume that's the griddle business.
Pat O'Donnell: That's correct.
Rob Dickerson: Okay. And then when we go back last year to Q4, I believe it was about a 4% drag from the broth dislocation, like, kind of from that disruption. So I guess, you know, if I'm trying to kind of, like, net broth, let's say, to griddle, would you say that that 4% drag from last year's Q4 was, you know, essentially recovered in this year's Q4? Is the first question.
Pat O'Donnell: Yeah. Rob, this is Pat. So I would say some of that 4% that we saw in the prior year in 2023 is recovered over the course of the year. I think as we've described it in the past, we do think it's gonna take through Q1 to get broth service levels back up. And so, you know, we're seeing that. So I wouldn't say it's fully recovered in that time frame. It's a seasonal item, and so it takes a little bit, you know, from a capacity standpoint to go fill that pipeline back up. So we weren't quite there in the fourth quarter.
Rob Dickerson: Okay. Cool. Perfect. And then just, Steve, you know, you had the comment in the prepared remarks around kind of expectations for promotional activity to increase. I kind of took that, you know, it's both branded and private label. So I guess just kind of, like, first part of the question is just, you know, kind of in this, like, lighter volume environment. And then kind of your comment on kind of trying to push the margin on a lower volume base. Is the idea as you kind of get through Q1, you know, if, like, the environment, let's just say, doesn't improve materially, then as we kind of get through the year, you know, both branded and private label could actually start to promote a little bit more to try to get those volumes. You know, and hopefully, you know, the lower absolute price point on a promoter private label item becomes more attractive in this environment. That's all.
Steve Oakland: Sure. I think the assumption is branded. Right? I think that they're still below and, I mean, at some point, we have to stop using pre-pandemic. Right? It's gonna get too far. Nobody's gonna remember when it was. Right? But, you know, the promotion levels are still not as historic norm. Right? So there's room for promotions to grow based on that. We expect branded promotion volumes. Look, it's a low volume environment. Right? So we expect them to try to find ways to target that and be effective. We contemplated that in our flat guidance. Right? We think that's contemplated in. When it comes to promotion for us, you know, that's something we work on with the retailer. You know, it's not trade for us. It's not the same line. It's built into the contracts that we have. So, you know, if we need to do that or they need to do that, we'll work on that together, but it won't have financial impact to us the way promotion does in branded accounts. Right. So but my feeling is the gaps are pretty substantial right now. I think they can sustain, and the value proposition for private label, I think, is the best it's ever been from a quality and assortment and price point, so price gap. So I don't I think we'll weather and we can deliver the numbers that we have comfortably without us having to do much. And that assumes brands are aggressive.
Rob Dickerson: Okay. Super. And then maybe just one last quick one, on Harris Tea. You know, 4% excuse me. 4% and a contribution to 2025. Just as you step into that business, and I'm sure, you know, you buried it pretty quickly or closely. Sorry. Before you purchased it. You know, kind of out of the gate, is there, like, you know, kind of a larger, you know, increased distribution opportunity? Is there, you know, something strategic, you know, that kind of pairs with coffee that, you know, we just started discussing. Right? And we clearly understand kind of what's the what the CAGR on that business has been, the category. Just trying to understand kind of, you know, what do you do with it out of the gate.
Steve Oakland: Well, I think, yes. Number one, it's a category. Typically, that is a category that is bought with coffee. Right? The hot beverage group in most retailers is altogether. So they bring an even deeper group of relationships with that particular category than we do. Also, we have a small tea business. Right? And we pack tea for some of the, you know, some of the most specialty, you know, food service retailers and things. We have a very high-end tea business. It didn't have the procurement and blending capabilities. So it brings vertical integration to the business we already had. And that's where the little extra synergy for TreeHouse is besides just the integration stuff. Right? So I think we've and this is a really deep group from an expertise level. So they are clear category experts. So I think what we felt, they could run our existing tea business better than we were running. Right? No knock on our team. Just, we felt there was gonna be synergy on our RT business.
Rob Dickerson: Super. Thank you.
Operator: The next question comes from Carla Casella of JPMorgan. Your line is open.
Carla Casella: Hi. Thanks for taking the question. Just on the Griddle facility shutdown, and more broadly than that, can you talk about what you're seeing in terms of you talk about account wins, wondering if you're seeing any account losses and if there's a from a net-net win versus losses way to think about the business.
Steve Oakland: You know what? I think our customers have been with us really strongly both on our broth recall and on our grill recall. So we think that the distribution base as we come out of this will be very similar to the distribution base when we went into it. And I think that's just our transparency. You know, there were no consumer injuries on this. This was, you know, this is the rigor that we put into an older facility that we owned. And I think their QA groups really appreciate our vigilance on it. You know, I think it was the right thing to do. It was expensive, and I know the retailers don't like this kind of thing, but they appreciate having a partner with the kind of vigilance that we have. So far, we think our distribution will be neutral.
Carla Casella: Okay. Great. And then just any conversations you've had with the rating agencies? I know I ask this all the time, but the CCC rating on the bonds looks, you know, low to us. And we're just wondering if you've got any kind of in your sights to maybe get your rating up. And what you may need to do.
Pat O'Donnell: Yeah. I think it's no different from other stakeholders who are just looking for consistency of execution and delivering on what we set out. And so I think as we do that, you'll see it. I think as we keep leverage low as well, I think that's another, you know, kind of mechanical trigger point that we'll need to think about. And, certainly, you know, even with our refi, we felt like pricing we got in the first quarter was, you know, probably reflected what your sentiment is on the rating as well.
Steve Oakland: Yeah. Carla, I would just say our bondholders and our lenders look at it as favorable to that credit rating. So we think the underlying earnings power of the business shows through, and we understand the rating agencies' conservative stance, and we're anxious for that to for us to have the returns and the results that we can show through to them as well.
Carla Casella: Okay. Great. Thank you.
Operator: The last question today comes from William Reuter of Bank of America. Your line is open.
William Reuter: Good morning. I just have two. The first, your leverage is kind of down near the bottom of your target range of three to three and a half times. Should we assume that I guess, the majority of cash at this point will either be deployed towards M&A or if there are not opportunities towards share repurchases?
Pat O'Donnell: Yeah. And so I think the way to think about that is we obviously did M&A in January, and so we did put some of that cash that we had on the balance sheet to use early in the quarter in the first quarter of 2025 for the Harris Tea acquisition. And so, you know, from a leverage standpoint, you may see that move up just a little bit from where we said our target was, and then we'll work that down over the course of the year. But certainly not levering up the company by any stretch, but, you know, that will change a little bit in the first couple quarters of 2025.
Steve Oakland: Yeah. We think by year-end, though, we'll be in an even lower position. I think the slide sixteen that we thought it was important. We talk about capital allocation and the discipline that we have. We think that pie chart really gives you a sense that we have in fact invested in our business. We have in fact kept our balance sheet strong. And opportunistically return cash to shareholders. So we don't see any change in that going forward.
William Reuter: Got it. And then given the diversity of your product portfolio, it's a little bit difficult from the outside to track how your commodities may look for the year. I guess, in general, are you gonna see either inflation or deflation, or should they be relatively flat?
Pat O'Donnell: Yeah. We're gonna see sort of low to mid-single-digit inflation is what we've got visibility to right now. You know, there are large chunks of that that are in coffee and cocoa, which if you follow those, those have been up somewhat more dramatically than other commodities. And then there's probably some things in some edible oils and some other ingredients that we use that are up a little bit year over year. So we'll watch that as we go through the year, but that's what we've got visibility to right now. And we've assumed some level of pricing in our top-line guide before that.
Steve Oakland: And we've talked a number of times. Much of our coffee pricing is passed through, right, is on a timing pass through, and we hedge it accordingly based on those pass-through agreements. So that's a mechanical exercise, and that's probably the largest single piece of it.
William Reuter: Okay. So does it stand to reason that it sounds like from the last answer that largely you did push through price increases, and let's exclude Cocos and Surajar pass-throughs on that or coffee. I can't remember which one you just mentioned. But you priced for the majority of the other commodity inflation you saw for the year?
Steve Oakland: I'd say that that activity is happening right now. Yeah. I would say it's more current than yeah. I wouldn't say we've done it. I'd say it's being done.
Pat O'Donnell: Yep. And, you know, obviously, there's positions in front of that stuff, so that gives us a time to do the customer lead time.
William Reuter: Great. That's all for me. Thank you.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Steve Oakland, Chairman, CEO and President of TreeHouse Foods for closing remarks.
Steve Oakland: Well, I'd like to thank everyone for being with us today. I'm sure that you know, this isn't what you planned for Valentine's Day, but we appreciate you being with us. And we hope that we hope you'd have a great evening. And we look forward to talking to you live in between and again next quarter. Have a great day.
Operator: This concludes today's conference call. You may now disconnect.